Operator: Good day, and welcome, everyone, to IDACORP's Fourth Quarter 2013 Conference Call. Today's call is being recorded and webcast live. A complete replay will also be available from the day -- the end of the day, for a period of 12 months on the company's website at www.idacorpinc.com. [Operator Instructions] At this time, I would like to turn the call over to the Director of Investor Relations, Mr. Lawrence Spencer. Please go ahead, sir.
Lawrence F. Spencer: Thank you, Celia, and good afternoon, everyone. Welcome to our fourth quarter 2013 earnings release conference call. We issued our earnings release before the markets opened today and that document, along with our SEC Form 10-K, is now posted to our website at www.idacorpinc.com. We will be using a few slides to supplement today’s call, and these are also located on our website. We'll refer to specific slide numbers as we work our way through today’s presentation. On Slide 2, we show the presenters on today's call. LaMont Keen, IDACORP's President and Chief Executive Officer; Darrel Anderson, Idaho Power's President and Chief Executive Officer; and Steve Keen, Idaho Power's Senior Vice President, Chief Financial Officer and Treasurer. We also have other individuals available to help answer your questions during the Q&A period. Before turning the presentation over to Darrel, I'll cover a few details with you. First, our Safe Harbor statement is on Slide 3. Our presentation today contains forward-looking statements. While these forward-looking statements represent our current judgment or opinion of what the future holds, these statements are subject to risks and uncertainties that may cause actual results to differ materially from statements made today. As a result, we caution you against placing undue reliance on these forward-looking statements. A discussion of factors and events that could cause future results to differ materially from those included in forward-looking statements can be found on Slide 3 and in our filings with the Securities and Exchange Commission, which we encourage you to review. On Slide 4, we present the quarterly and year-to-date financial results. As you can see, IDACORP's fourth quarter 2013 earnings per share were $0.55, an increase of $0.19 per share from last year's fourth quarter. For the year, 2013 earnings per share were $3.64 compared to $3.46 in 2012. For 2013, IDACORP elected early adoption of an Accounting Standards Update relating to investments in qualified affordable housing projects. As a result, IDACORP's financial statements for prior years have been adjusted to apply the new method retrospectively. Steve will discuss this in more detail later in the presentation. But for now, I'll turn the presentation over to Darrel.
Darrel T. Anderson: Thanks, Larry, and good afternoon, everyone. IDACORP and Idaho Power had another strong year of earnings, benefiting both our shareholders and our customers. The results were largely due to base rate changes, weather-related sales increases, customer increases, diligent cost management and the impact of a change in accounting at IDACORP Financial Services that Steve will discuss a little later. On Slide 5, we present a reconciliation of earnings from 2012 to 2013, which is also included in the Form 10-K we filed this morning. Overall, IDACORP's net income increased $9.4 million from 2012 to 2013, reaching over $180 million for the first time in the company's history. Idaho Power's operating income was up $52 million compared to 2012, due to $30 million in new revenue, primarily related to inclusion of the Langley Gulch power plant in rates for a full year, $18 million from increased energy sales due to weather-related factors and nearly $9 million from customer growth. Our results were further enhanced by an $11.6 million pre-tax gain on the sale of marketable securities recognized in the fourth quarter of 2013. Because our 2013 return on year-end equity in the Idaho jurisdiction puts us in the 75% sharing band under our December 2011 regulatory settlement agreement, only approximately 25% of this gain benefited 2013 earnings. Partially offsetting these results were the decrease in allowance for funds used during construction, as Langley Gulch went into service in mid-2012; income tax method changes affecting both 2012 and 2013; and higher income tax expense related to greater pretax earnings at Idaho Power in 2013. On Slide 6, we discuss a number of areas impacting the business. As many of you are aware, our settlement stipulation in Idaho provides for additional amortization of accumulated deferred investment tax credits or revenue sharing under certain criteria. This stipulation is scheduled to run through December 31, 2014. Idaho Power has held discussions and advised the Idaho Public Utility Commission staff that the company believes it would be appropriate to extend the terms of the previous settlement agreement beyond 2014. Based on those discussions, which have been preliminary to date, the company plans to file an application to be processed this year that seeks to extend some or all of the terms of the existing settlement agreement beyond 2014. As to the service area economy, Idaho Power considers its service territory to have characteristics that continue to make it desirable for the expansion of existing businesses and for attracting new business and residential customers. Based on Idaho Department of Labor preliminary data, the total number of persons employed in the service area in December 2013 was over 451,000, eclipsing the previous peak established in December 2006. The associated unemployment rate for the service area was 5.3% compared to the state of Idaho rate of 5.7% and the national rate of 6.7%. A recent report by Moody's Analytics indicates growth in gross area product in Idaho Power service area of 2.9% for 2013 and forecasts levels of growth in 2014 and 2015 of 2.9% and 3.7%, respectively. In the last several years, we have experienced positive customer growth. And from 2012 to 2013, we increased our number of customers by over 7,000 or 1.5%. Idaho Power's most recent forecasts predict a 1.4% 5-year compound annual growth rate in residential loads and a 2.1% 5-year compound annual growth rate in residential customers. With regard to our transmission projects, the Boardman to Hemingway line remains Idaho Power's preferred resource alternative as identified in the June 2013 Integrated Resource Plan. Permitting work is continuing, but due to delays and siting impediments that have occurred, Idaho Power is unable to predict the in-service date for the Boardman to Hemingway line, but expects the timing to be in 2020 or beyond. Because of the delays, Idaho Power is conducting an enhanced review of other power supply options, should they become necessary in the interim. We expect the Bureau of Land Management to issue a draft Environmental Impact Statement for the project during 2014. With respect to the Gateway West line, the Bureau of Land Management released its final Environmental Impact Statement for public comment in April 2013 and released the record of decision in November 2013. Based on the record of decision, the Bureau of Land Management issued right-of-way grants on public land for most segments but deferred the decision on 2 of the segments, pending a resolution of routing concerns. We anticipate it could take up to a year before that issue is resolved. Moving now to our estimated 2014 operating and financial metrics shown on Slide 7. The initial 2014 range for Idaho Power operating and maintenance expenses is $335 million to $345 million compared with the 2013 actual O&M of $349 million. We expect to use less than $5 million of additional accumulated deferred investment tax credits in 2014 out of the $45 million we have available. We did not use any of these credits in 2013 nor have we, over the past 5 years, if the credits have been available. Steve will discuss capital expenditures in a moment, but the estimated range for 2014 is $280 million to $295 million, up from $228 million in 2013. We entered 2014 with low reservoir carryover and less-than-normal snowpack conditions. Since then, recent storms have helped our hydro output. These conditions are reflected in our 2014 hydroelectric generation range of 5 million to 7 million megawatt-hours. This compares with a median of 8.4 million megawatt-hours. With our Oregon and Idaho Power cost recovery mechanisms, we expect to recover most of the resulting potential higher power supply cost in current or future rates. We are initiating our 2014 earnings guidance with a range of $3.40 to $3.55 per share. This estimate is less than 2013's actual results, but does represent a 6% increase over our initial guidance that we have provided for 2013. Our guidance incorporates the operating metrics just discussed and assumes normal temperatures in 2014. I'd now like to turn the presentation over to Steve to discuss the adoption of the new accounting method, standard, our liquidity position, revenue sharing impact in 2013 and other matters.
Steven R. Keen: Thanks, Darrel, and good afternoon. I'll first discuss the change in method of accounting for investments in qualified affordable housing projects. The Financial Accounting Standards Board issued Accounting Standards Update #2014-01 in January of this year. We elected early adoption of this standard, which changes the accounting for our investments in qualified affordable housing projects made by IDACORP Financial Services. We adopted this early because we believe it more fairly represents the economics of these investments and provides the users with a better perspective of the returns they generate. This method change applies to prior years retrospectively and resulted in a $4.3 million increase in IDACORP's net income in 2012, compared to amounts recorded under the previously applied method. We expect the impact of the method change on our anticipated 2014 earnings to be approximately $2 million higher than under the previous method. And we anticipate our contribution from non-regulated investments, net of holding company expenses, to be in a range of $2 million to $5 million, all of which has been considered in setting our 2014 earnings guidance range. A more lengthy discussion of the new accounting standard is included in Form 10-K we filed this morning. On Slide 8, we show IDACORP's 2013 operating cash flows and liquidity position at December 31. Cash flow from operations in 2013 was $305.5 million, an increase of $56.3 million over 2012. The majority of the increase results from a $48 million improvement in income before income taxes. Additionally, a smaller defined benefit pension plan contribution in 2013 improved operating cash flows by $14 million. The remaining change resulted from working capital and other items. IDACORP and Idaho Power currently have in place credit facilities of $125 million and $300 million, respectively, to meet short-term liquidity and operating requirements. The liquidity available under the credit facility is shown on Slide 8. Also, there are 3 million IDACORP common shares available for issuance under IDACORP's continuous equity program. No shares were issued during 2013 and we do not expect to issue new equity during 2014, except for modest amounts relating to employee compensation plans. Turning to Slide 9. We show the individual sharing components of the December 2011 Idaho Regulatory Settlement Agreement. During 2013, Idaho Power recorded a total of $24.1 million of customer benefit. Of this total, $16.5 million reduced customer pension obligations and was recorded as additional pension expense, while $7.6 million was set aside as a provision against current revenue for a future rate reduction. In 2012, we recorded a total of $21.8 million in customer benefit as a result of the regulatory settlement agreement. Now I'd like to discuss our 2014 to 2018 capital requirements forecast, as presented on Slide 10. We show the total 2014 capital expenditure estimate as $280 million to $295 million, with the vast majority allocated for ongoing capital expenditures, and $45 million to $50 million allocated to Jim Bridger plant environmental controls. In 2015, the total estimated range grows to between $315 million to $335 million, and the 2016 to 2018 total estimated range is from $875 million to $925 million. Finally, I will discuss a recent positive ratings action by Moody's Investors Service. On January 30, Moody's announced the upgrade of IDACORP's and Idaho Power's long-term issuer ratings by 1 notch. Coupled with this change was a 1-notch increase in Idaho Power's first mortgage bond rating, along with other rating category upgrades. We view these actions as indications of improving credit quality at both Idaho Power and IDACORP. In regard to future debt needs, despite growing capital expenditures this next year, we do not currently plan to issue additional long-term debt in 2014. However, with our updated projection of future capital expenditures, there will be an eventual need to issue new debt capital. We will continue to evaluate our capital needs and monitor changes in debt capital markets on an ongoing basis with an opportunistic approach to future issuances. Now I'd like to turn the discussion over to LaMont.
J. LaMont Keen: Thanks, Steve, and good afternoon, everyone. As you are probably aware, this is my last quarterly conference call at IDACORP. I retired as CEO of Idaho Power on December 31 and will retire from IDACORP on April 30. I will maintain my involvement with the company by remaining on the Idaho Power and IDACORP boards As I turn the helm over to Darrel Anderson, I am leaving our venerable company in good hands. Darrel is highly qualified on all fronts to lead our organization going forward. He is well-prepared, knows what I know and has some gifts that I don't. Darrel deserves your continued support and you can have confidence in him. You can rest assured my transition from the company was well planned. I told the board a little over 2 years ago that if they supported me in my retirement plans, this would be the smoothest transition in the last 40 years and we are indeed making it as seamless as possible. Our foresight has resulted in the placement of individuals with the requisite skills and the appropriate appreciation for the company in key roles. The changes have been orchestrated with intent. IDACORP and Idaho Power are companies with a strong legacy, longevity and that have a real impact on people's lives and businesses. The company has not only endured but thrived for nearly 100 years. In my nearly 40-year career with IDACORP and Idaho Power, I have seen many positive developments for our company, financial and otherwise. I have enjoyed working with the investment community over many years and I value your insights and perspectives. I thank all of you for the support you have shown the company and me during my time as CEO. I will close with this today. Our company is financially healthy. Energy supply and demand are in balance. Our collaborative culture is strong and we are positioned for continued success. I thank you for your interest in, and support of, IDACORP.
Darrel T. Anderson: Thanks, LaMont. And I want to take a moment now to acknowledge the many contributions you have made to the company over the last 40 years. Under your dedicated and thoughtful leadership, IDACORP and Idaho Power have grown and prospered. I along with the rest of the management team, are proud to carry on your legacy of success and look forward to managing the challenges and opportunities that the future holds. With that, we would now like to stand for questions from folks online.
Operator: [Operator Instructions] The first question comes from the line of Paul Ridzon, KeyBanc.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: First of all, I wanted to say good luck to LaMont and tell him it's been a pleasure to work with him for 10-plus years.
J. LaMont Keen: Thank you very much, Paul.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: My first question is on the gain. Is 25% -- is $11 million 25% of $44 million? Or is the realized gain actually 25% of $11 million?
Darrel T. Anderson: No, the actual gain -- Paul, this is Darrel. The actual gain that gets reflected in earnings after sharing is 25% of the $11.6 million, which is $11.6 million pretax.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: Got it. And then do you plan to file a general rate case? Or do you think you can strike a deal with regards to extending the settlement?
Darrel T. Anderson: Well, yes, as we sit here today, we are not planning on filing a general rate case, as we sit here today for 2014.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: And with regards to future generation needs, when do you think you might need to make a decision there, given the continued delays in B2H?
Darrel T. Anderson: Well, Paul, we have an opportunity. We're just starting -- it's hard to believe this -- but we're just starting 2014, but we're also just starting the 2015 IRP process. And so as we start going through that process, we will be going through our collaborative process that will begin to take a new look at load, what's going on with load growth, what's -- how are we looking at resources? What is the status of Boardman to Hemingway and the timing of that? And so we would expect that in the 2015 IRP would -- the potential roadmap in the 2015 IRP that would kind of lay the groundwork going forward. We believe that. Again, depending on what happens with load, we believe that would be adequate time to be able to respond, to ensure that we have load resource balance that LaMont mentioned earlier.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: And then the impact of the accounting change around affordable housing in '14 was $2 million? I just want to make sure I got that right.
Darrel T. Anderson: Yes, Paul. That's what we predict that change to be.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: And what happens beyond '14?
Steven R. Keen: Paul, the investments in general at that subsidiary, have been maturing. And the reason we wanted to be sure and give you a clear line to where next year was is the numbers that occurred as we did our restatement were a bit higher than that. I'd say the $2 million is probably good in the near term and -- but it is going to trickle downward. Those investments that are there are maturing and they will go away. With that said, I think the new accounting method is something that makes us look at that business as having some potential down the road. We need to monitor how many credits we have. But with new investment, that number could hold or it could even rise. But I think if we don't put additional money into it, it's only a few years and that trickles down into a pretty nominal amount.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: What's your current thinking about new investment in that area?
Steven R. Keen: Well, we're watching our credit situation. The biggest impact on that has been the bonus depreciation. It doesn't take many years without bonus depreciation to bring our credit balance down, such that we wouldn't be afraid to add to it. If bonus depreciation continues to show up for a few more years, we'd probably sit and wait a few more years because that's just so big, it takes away our needs.
Operator: The next question comes from the line of Brian Russo, Ladenburg Thalmann.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: You mentioned earlier that you've had some preliminary discussions with the staff and that surrounding an upcoming filing to extend the existing rate structure. Does that imply that the staff is supportive of this filing? Or can you maybe elaborate a little bit on that?
Darrel T. Anderson: Brian, this is Darrel. I'm going to let Greg Said, who heads our regulatory side to kind of speak to that.
Gregory W. Said: Yes, Brian, in our discussions with the staff, they didn't come out and commit support of the application. But they acknowledged that the mechanism that's been in existence for the last 5 years has provided benefits to our customers as well as the company. And so they didn't commit one way or the other that they would support or oppose, but they recognize the value that's existed in the past.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Were there any other of the usual interveners notified or it was just staff?
Gregory W. Said: We've met with a couple of our larger customers and customer groups to also let them know that we believe that based upon the benefits that they've experienced in the past, that we believe the mechanism should be extended beyond 2014.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: That you, IDACORP, believes the mechanism should be extended?
Gregory W. Said: That's correct.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. And is there any scenario where you would have to file a general rate case? I mean, did staff require you to file a rate case in order to extend this rate structure? And/or could there be any other scenarios when that might happen?
Steven R. Keen: Brian, there's -- I want to give one clarification, and I know in a previous call we mentioned that -- we may need to show need, certainly, when this was originally brought forth. We had a need for a rate change that kind of drove the discussion at all. But there is actually a tax reason for keeping the settlement discussion separate from any rate proceeding. And I don't believe we could actually combine them, and we've intentionally -- all we've done the settlements, post some type of general rate case or in the period when there wasn't a general rate case. So there is actually a technical reason why you wouldn't bring the 2 together.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: I understand. But could they play out kind of on parallel tracks? Meaning is there a scenario in which you have to file a rate case in order to get this ADITC extended on separate paths?
Gregory W. Said: I don't think that's likely.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. And will the application contain the same parameter sharing bands, return on year-end equity? Or is that subject for review in any future extension or settlement?
Darrel T. Anderson: Brian, this is Darrel. We haven't -- I mean, as I mentioned earlier, we've had preliminary conversations. We haven't actually spent time talking about any of the details of what the application might look like. We've had some internal conversations around what it might look like, but we're not in a position today to kind of share those. Like I said earlier, it's preliminary. But again, I think, as Greg said, I think we've heard positive comments about the existing structure, the way it's put together today. We have provided -- there has been over $90 million of benefits over the last 3 years to the customers. So there's a lot to say, that the existing structure has a lot of positives to it. But again, we don't have details on it, they'll provide you at this time.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. And what tax rate should we assume in 2014?
Darrel T. Anderson: Brian, this is Darrel. We've talked about it in the past. I mean, given kind of where we're -- you saw a number, if you looked at our 10-K, the effective rate is around 28% or so. And that has a couple of adjustments in there that kind of bump that up. I would say probably mid-20s is a good place to be.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Okay. And then lastly, could you just -- with hydro conditions below normal in your territory and the drought we're seeing in California, et cetera. Can you just remind us the mechanics of your PCA, how that mitigates the majority of your exposure to below-normal hydroelectric generation?
Steven R. Keen: Brian, in Idaho, we have a 95/5 sharing mechanism. So that 95% of those costs flow through to customers, 5% is borne by the company, and it's symmetrical. On the upside, if there's benefits, it's the same way, 95% go to customers and 5% is borne by the company. There's also a slightly more complicated, I guess, mechanism in Oregon but we have similar coverage there. It's not exactly the same. But I think it's safe to say, Brian, that our exposure from the actual cost of the power, we believe, is fairly minimal. And certainly, we've been planning, we've known where the weather was and as Darrel said, it's proved a bit of late. But from an ability to serve, we've been planning for that for some time.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Isn't also another aspect of that is the PCA gets updated April of every year and included in that update is kind of like a current look at the state of the hydro backdrop?
Steven R. Keen: It gets updated annually with really 2 components. One's a look back to see how you've done previously against the actual versus what your plan was. And then we look ahead. And we also take into account what we expect power supply cost to be over or above or below normalized power supply cost on a go-forward basis. So rates are adjusted both to true-up the past and to try to get as close to a line as we can on a go-forward basis. That's not perfect. That's why you still need to true-up the following year. But it's -- those enhancements came in, I guess, roughly 5 years ago now and they really did change our -- the impacts on us from a liquidity standpoint because we're much more real-time than we used to be.
Brian J. Russo - Ladenburg Thalmann & Co. Inc., Research Division: Right. And that filing is every April, right?
Darrel T. Anderson: Right. April 15.
Operator: The next question comes from the line of Sarah Akers, Wells Fargo.
Sarah Akers - Wells Fargo Securities, LLC, Research Division: Just a follow-up on the IRP question. Should we get a mid-cycle update ahead of the '15 IRP? Or are we going to have to wait until '15?
Darrel T. Anderson: We have a group that works on that, an advisory committee on the IRP and they will begin meeting soon. And it's likely there will be -- there could be some updates coming later this fall, as we start talking about load forecasts and what-have-you. So they could be some updates in Oregon that might become available later this year.
Sarah Akers - Wells Fargo Securities, LLC, Research Division: Got it. And then based on your discussions with potential customers, is there anything tangible you can point to in terms of new large-load customers? Are you kind of getting a sense that there are a lot of advanced discussions there?
Darrel T. Anderson: We are seeing a lot of discussion within our service territory. One of the things that we -- a recent example that you saw on the slide is Clif Bar announced their decision to move their first manufacturing facility outside of California and within our service territory to be located really right next to Chobani's yogurt facility, which again, is the largest yogurt facility, I think, around. We've seen that. We've seen GoGo squeeZ which is a -- you may have heard of that company. I believe its parent company is Materne, just recently announced their location out in the west side of our service territory who, again, bringing manufacturing jobs to our service territory. We're seeing existing customers, Simplot being one of those who has done a significant refurbishment of their facilities and really gone, added significant technology, which requires increased load requirements for their food processing facility here, very close to Boise. Those are just a few off the top of my head. We've got a lot of – and those are lines that actually are real, that have announced that we can talk about. There's just a lot of people looking at Idaho right now and for a lot of different reasons. One of them is balanced budget at the state level. They're doing a lot of work. I'm trying to bring taxes down. We've had tax reductions the last 2 years, they're kicking around some tax reductions right now in the legislature. There's just a lot of positive things that are out there that we're seeing. So again, as they come about, there's a lot we'd like to talk about that we just can't. But we are being much more actively engaged also in that process with all of the economic development offices around our service territory, as well as with the Department of Commerce, working very closely with those folks as people come in and look for places to locate their business.
Sarah Akers - Wells Fargo Securities, LLC, Research Division: Great. And then one on the regulatory front. Can you talk about the longer-term strategy? And specifically, how Idaho Power might go about getting the SCR investment into rates?
Darrel T. Anderson: Well, I'll start, and I may kind of flip this around, Sarah. But as you know, we went in, had a hearing for a Certificate of Necessity Public Convenience, CPCN and where we actually asked for pre-approval. We didn't get pre-approval but we were issued a certificate for the SCRs associated with Bridger. So the plan there would be that, as we move that forward and we get to a construction in '15, say '15 and '16, that we would then seek recovery of those assets, of those investments at that time. We didn't get pre-approval but we did get the certificate. And I have -- Lisa, do you want to add something to that?
Lisa A. Grow: Just that it wasn't for all of Bridger, it's just for Units 3 and 4.
Darrel T. Anderson: Correct.
Lisa A. Grow: One and 2 have yet to be -- have a hearing.
Darrel T. Anderson: Those are later, right?
Lisa A. Grow: Yes, 21 and 22.
Sarah Akers - Wells Fargo Securities, LLC, Research Division: And can you do a single…
Darrel T. Anderson: That was Lisa Grow just -- sorry, who's heading up our Power Supply Group.
Sarah Akers - Wells Fargo Securities, LLC, Research Division: And can you do a single-item rate case for those, for each of the units? Or would that require a full-blown rate case?
Darrel T. Anderson: Well, Greg, you want to go ahead?
Gregory W. Said: Sure. No, we could do that as a single-issue rate case.
Operator: We have a question from the line of Craig Lucas, Nexus Asset Management.
Craig Martin Lucas - Nexus Asset Management LLC: I just wanted to clarify a couple little points. Most of my questions have been answered. The first is that, if things go well, you'll get an extension of the sharing mechanism, et cetera, the use of the tax credits. But if things don't go well, then what would happen if this filing doesn't work?
Darrel T. Anderson: Craig, this is Darrel. We would take a look at where we are today and decide whether or not it warranted the filing or not.
Craig Martin Lucas - Nexus Asset Management LLC: I see. So then you'll just kind of -- you'll make a decision at that point what to do next kind of thing?
Darrel T. Anderson: That's correct.
Craig Martin Lucas - Nexus Asset Management LLC: Okay. And could you also talk about the timing of this case in terms of when we'd expect to see the filing and how long it's likely to last?
Darrel T. Anderson: First of all, as you recall what we've done in the past, these have kind of been much closer to year-end. We've got this, we started the discussions now so as not to be in a situation where this is pushing up against year-end and the uncertainties associated with that. We have a couple of other pending cases right now that we are working through. So as those work their way through, then we will kind of look at what the right timing is with respect to this application. There are a number of avenues that we could go down the path of, one of them is going to the full rate proceeding process. As you've known, we've done other proceedings on modified procedure, or at least asked for modified procedure. So there's a series of things that we could ask for and the modified procedure, as you know, will short-circuit the time frame. But that kind of depends on what the appetite is for doing a full-blown rate proceeding or something other than a full rate proceeding.
Craig Martin Lucas - Nexus Asset Management LLC: Okay, that's fair. And then one last little question. In terms of the non-regulated earnings contribution, you said that it works down to a trickle? I think you said that.
Steven R. Keen: With regard to IDACORP Financial, Craig. This is Steve talking. So we really have 2 entities out there, subsidiaries that are in the non-reg side. We have Ida-West, which is -- owns and operates small hydro facilities. That tends to ebb and flow a bit with weather, more like -- and it doesn't have mechanisms like we do. So it truly does move up and down as hydro conditions are good in either Northern California or Idaho. The IDACORP Financial piece is driven almost 100% by investments that were made in affordable housing properties and they do have a defined life. The credit period is a defined period of 10 years. Then there's some losses that roll in after that. But it's a very defined rollout of the benefit. And we haven't invested in that in a number of years. So as those properties mature and kind of reach the end of their life, essentially, you're done until you reinvest. And at this point, we haven't been doing that.
Craig Martin Lucas - Nexus Asset Management LLC: So of the total nonutility contribution last year, for example, how much was Ida-West as a percentage or any way you'd like to discuss?
Darrel T. Anderson: Yes, we don't really break it out. But in my script, I pointed out that we're saying the non-reg side is $2 million to $5 million in total. That's the range that we see incorporating both of those entities. And this did lift the IDACORP Financial piece by roughly $2 million from where it was before. But again, it was fairly low to start with. So they're all encapsulated in that. And one of the reasons we quit highlighting it is that it got down to where it was below $5 million. It just wasn't extremely significant part of what the company's doing every year, so we quit shining a light on those things.
Craig Martin Lucas - Nexus Asset Management LLC: So without incremental investment, we would -- we should assume that the non-Ida-West component sunsets by '16? Is that a fair assumption?
Steven R. Keen: No. It's just tailing off. And we made investments as late as probably 5, 6 years ago that we made our last investments. But they do trickle down. There was a time back when I was running that sub, we were north of $0.30 a share that it was contributing annually. And it's just not like that anymore, but it is given to small amounts.
Craig Martin Lucas - Nexus Asset Management LLC: Is that cash or was that noncash contribution?
Steven R. Keen: It generates cash. We did most of that with debt back then. I don't know if that's as easy to do today. But they were highly leveraged. The formula works, you put in $0.90, you get back about $1.00 in credits and then you get all the tax losses off it, so you get about 140% of your money back through credits and losses. [indiscernible] I think it's not quite that rich today.
Craig Martin Lucas - Nexus Asset Management LLC: Okay. One last little question. When you do make the filing, how long do you expect that process to take? And so we would expect that you would make a filing and then other interveners would file in response and then there would be some type of a final decision in lieu of those positions in the case? It'll almost -- is that what we should expect? And how long…
Darrel T. Anderson: Craig, this is Darrel. We're going to have Greg Said to come in who's going to talk about the kind of the regulatory process there.
Gregory W. Said: Typically, the longest amount of time that a case would run in Idaho is 7 months. If the company were to file requesting modified procedure, the anticipation would be that the time could be less than that 7- month period of time. But any of the parties could request a technical hearing and it's really a matter of whether or not the commission believes that a technical hearing is required as part of the process. And if it is, that would suggest the 7-month period of time. If they think that, instead, there could be settlement discussions and a solicitation of comments that would be adequate for them to make their decision, the process could be a shorter period.
Operator: [Operator Instructions] That concludes the question-and-answer session for today. Mr. Anderson, I will turn the conference back to you, sir.
Darrel T. Anderson: Thank you very much and thanks for all of you for participating on our call this afternoon and we appreciate your continued interest in IDACORP and Idaho Power and we look forward to talking to you guys in the future. Thanks a lot.
Operator: That concludes today's conference. Thank you for your participation. Have a great day.